Operator: Good day everyone, and welcome to the Q4 2022 Glatfelter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ramesh Shettigar. Please go ahead.
Ramesh Shettigar: Thank you, Lynette. Good morning, and welcome to Glatfelter's 2022 fourth quarter earnings conference call. This is Ramesh Shettigar, Senior Vice President, Chief Financial Officer, and Treasurer. On the call to present our fourth quarter results is Thomas Fahnemann, President and Chief Executive Officer of Glatfelter and myself. Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP-based results is included in today's earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2021 Form 10-K and our 2022 Form 10-Qs all of which have been filed with the SEC and today's release are available on our website and disclose factors that could cause our actual results to differ materially from these forward-looking statements. These statements speak only as of today, and we undertake no obligations to update them. I will now turn the call over to Thomas.
Thomas Fahnemann: Thank you, Ramesh. Hello, everyone, and welcome to Glatfelter's fourth quarter conference call. It is a pleasure to be with you today. Having now completed my first full quarter as Glatfelter's CEO, I'm encouraged by the performance we delivered during the fourth quarter of 2022. Our global team has quickly embraced the turnaround plan I announced shortly after joining Glatfelter. Through their efforts, we delivered adjusted EBITDA of $25.4 million for the underlying business when excluding the one-time impact from a supplier quality issue that occurred in the quarter. And this result was on the upper end of our guidance of $23 million to $26 million. When reflecting the financial impact of this issue, our adjusted EBITDA was $22.3 million. Our efforts were focused on important pricing actions and targeted productivity improvements across our three segments, and we continue to shape the organization by investing in key talent to strengthen our operations leadership bench. Performance in Airlaid Materials and Composite Fibers improved compared to the same period a year ago, and spunlace performance demonstrated improvement compared to the prior quarter, driven primarily by our branded Sontara pricing actions. In addition, the team achieved positive cash generation and improvements in working capital through concerted efforts to aggressively manage our accounts receivables and reduce inventory. As anticipated, our business continued to be impacted by macroeconomic challenges related to energy and raw material inflation, as well as seasonal shifts in order patterns and demand. Despite these challenges, I remain confident in the underlying fundamentals of the business and the importance of continuing to deliver on our turnaround strategy in 2023. I will provide additional details on our progress with the turnarounds towards the end of today's call. Before turning the call over to Ramesh, I'm very pleased to share that Glatfelter signed the binding commitment letter with Angelo, Gordon for a new six-year term loan that will give the company sufficient runway to meet its financing needs for the long-term. This financing also allows us to address the upcoming February 2024 debt maturity. We are working with Angelo, Gordon and its advisors and our bank group led by PNC to close the financings by the end of the first quarter. Ramesh will now provide additional details on our fourth quarter financial performance. Ramesh?
Ramesh Shettigar: Thank you, Thomas. Slide 3 of the investor presentation provides a summary of our fourth quarter performance. We reported a GAAP EPS loss of $0.76 for the quarter, which was primarily due to a goodwill impairment charge taken in Composite Fibers resulting from the higher interest rate environment and an asset impairment charge related to our OberSchmitten operation, which is part of the Composite Fiber segment. Adjusted EBITDA was $22.3 million compared with our guidance range of $23 million to $26 million and includes a one-time charge of $3.1 million related to a customer claim that was caused by defective raw material from a synthetic fiber supplier. Excluding this one-time charge, which was not anticipated in our previous guidance, we were near the upper end of the EBITDA range for the fourth quarter. Airlaid Materials and Composite Fibers operating income were both higher by 19% and 8% respectively compared to the fourth quarter of last year. This was mainly driven by higher selling prices resulting from multiple pricing actions taken in 2022, along with raw material pass-through provisions and energy surcharges, helping offset inflationary pressures and narrowing the cumulative price-cost gap from prior quarters. Spunlace operating income was in line with Q4 2021, but improved sequentially by approximately $3.4 million from Q3 of 2022. This segment also delivered benefits from selling price actions and cost controls to offset the continued inflation. Working capital was positive in the fourth quarter largely due to the inventory reduction initiatives as part of our ongoing focus on cash liberation. Slide 5 shows a summary of fourth quarter results for Airlaid Materials. Revenues were up 16% on a constant currency basis versus the same period last year mainly driven by higher selling prices of approximately $23 million stemming from contractual cost pass-throughs as well as price increases initiated for other customers without such arrangements. Volume was lower by 5% year-over-year, mainly driven by shipments in wipes, home care and hygiene categories. The wipes decline was related to end consumer demand softening at the end of the quarter due to inflationary pressures on multi-pack sizes, while the home care and hygiene declines was more related to customer ordering patterns. Operations and production were slightly unfavorable to the prior year, while mostly offset by lower spending and personnel costs. Foreign exchange and related currency hedging was in line with the fourth quarter of last year. Slide 6 shows a summary of fourth quarter results for the Composite Fiber segment. Total revenues were up 12% on a constant currency basis despite volume being lower by 17% versus the same quarter last year. The revenue increase was mainly due to higher selling prices of approximately $19 million as we have successfully converted over half of the segment's revenue base to a floating price mechanism, coupled with multiple pricing actions and energy surcharges taken in 2022 to combat inflation. All categories except food and beverage were lower versus last year. Wallcover shipments accounted for approximately half of the volume decline as this category was the most impacted by EU sanctions on products sold into the Russia market. Overall, this lower volume unfavorably impacted results by $0.6 million as the shortfall was partially offset by better mix from higher food and beverage shipments. Continued escalation in the price of energy, key raw materials, and freight lowered earnings by $14.9 million versus the same quarter last year. Operations and other were unfavorable $4.5 million driven by lower production to manage inventory levels, but partially offset by reduced spending and lower depreciation following the Dresden impairment taken in the first quarter of 2022. Foreign exchange was favorable $1.5 million from the weaker British pound creating a benefit in our UK manufacturing cost footprint. Slide 7 shows a summary of fourth quarter results for the Spunlace segment. Revenues were up 45% while shipments were 20% higher than fourth quarter of last year, mainly driven by one additional month of ownership and shipments this year compared to the prior year. Selling prices and energy surcharges were higher by $12.7 million and more than offset the continued raw material and energy inflation favorably impacting results by $1.5 million. The volume impact was only slightly favorable despite higher year-over-year shipments from the additional month, but was mostly offset by higher fixed costs. Operations, FX and other items were a net $1.5 million unfavorable, mainly driven by lower production to manage inventory levels and improve cash flows. However, spending on personnel was lower reflecting the actions taken since the acquisition to manage the cost structure and integrate the segment into the broader Glatfelter portfolio. Slide 8 shows corporate costs and other financial items. For the fourth quarter, corporate costs were higher by approximately $2 million versus the same period last year due to the one-time charge of $3.1 million from a customer claim caused by a defective synthetic fiber material. After an extensive review, our quality and commercial teams proactively took the necessary steps to settle the matter directly with our customer. This has no -- this has not impacted our relationship with the customer and we continue to ship other products in normal course. In addition, we have also initiated a claim with the fiber supplier and its insurance carrier to recover our losses related to this issue. The timing and final amount of the settlement is not known at this point. Since this charge was related to a new product offering that never made it to market, we have recorded it in Corporate & Other. Excluding this one-time charge, corporate costs were actually $1 million lower reflecting reduced incentive accruals and headcount actions taken as part of our turnaround plan. Slide 9 shows our cash flow summary. On a full-year basis, our 2022 adjusted free cash flow was lower by approximately $140 million versus 2021, primarily driven by higher working capital usage of $74 million. Working capital was driven by multiple factors, including higher inventory values due to the significant inflation in raw materials and energy consumed to produce our products, elevated accounts receivable due to price increases, and the termination of a U.S. spunlace factoring program in place when we acquired the Jacob Holm business. Lower earnings negatively impacted cash flows by $21 million and higher capital expenditures added $8 million to the cash usage. Other contributing factors were higher taxes and higher cash paid for interest. Slide 10 shows some balance sheet and liquidity metrics. Our bank covenant leverage ratio increased to 6x as of December 31, mainly due to the customer claim related to the faulty fiber material. As Thomas mentioned in his opening remarks, we have executed a commitment letter to refinance our upcoming debt maturity with a new six-year term loan and are in the process of working with Angelo Gordon and our bank group led by PNC to conclude the financings by the end of the first quarter. Our available liquidity at the end of Q4 was approximately $90 million, and our near-term focus continues to be on earnings growth, cash flow generation, completing our refinancing and delivering the balance sheet. Slide 11 is a summary of our guidance for 2023. Looking ahead to the current year, we are optimistic about the company's earnings potential and the growth we expect to see as some of the macroeconomic headwinds abate, including Germany's introduction of an energy price cap program. The expected year-over-year EBITDA improvement can be largely attributed to traction from our turnaround strategy and favorable pricing offsetting raw material and energy inflation. Furthermore, we're moving away from sequential quarter guidance to provide -- to providing annual guidance. For 2023, we expect full-year EBITDA in the range of $110 million to $120 million. Corporate costs of approximately $28 million, including incentive accruals. D&A expense of approximately $64 million and full-year interest and other financing costs to be approximately $73 million, which includes the latest projection of interest expense from the refinancing to be completed in the first quarter. As for cash flow items, we expect capital expenditures, including spunlace integration to be between $35 million and $40 million. This is in line with our 2022 spent and further highlights our disciplined capital allocation. We expect working capital to improve year-over-year by $20 million on account of lower inflation in raw materials and energy, and continued focus on cash liberation actions. And finally, cash taxes are expected to be between $20 million and $25 million. This concludes my prepared remarks. I will now turn the call back to Thomas.
Thomas Fahnemann: Thank you, Ramesh. When I first introduced the concept of the turnaround plan, I was optimistic we would begin to see improvements in our performance during the first half of 2023. Today, I'm pleased to say we actually gained some early results with executing the plan, as our fourth quarter EBITDA benefited by nearly $4 million. I remain confident in our ability to perform to the standard that has been set by the turnaround strategy with disciplined approach and project management office whose sole responsibility is to hold the team accountable for delivering results. To recap the turnaround strategy, it's comprised of six key initiatives, some of which we discussed earlier in today's call. First, portfolio optimization; second, margin improvement; third, fixed cost reduction; fourth, cash liberation; fifth, operational effectiveness; and six, returning spunlace to profitability. Our efforts with portfolio optimization are progressing as we review every part of the portfolio and consider the strategic and financial value of each asset for the near and long-term. We have not yet communicated any planned changes on this specific initiative; however, we continue to progress the essential work that is required to refine our portfolio and operational footprint. Our main goal is to align our assets that have scale or the potential for scale, are market leaders and fit well with Glatfelter's overall strength. Turning to margin improvement. We began to see marked improvement in our fourth quarter results in the Airlaid Materials and Composite Fiber segment, as well as our Sontara branded products in our Spunlace segment. This was achieved through our commitment to place greater focus on profitability rather than simply top-line growth. And while volumes may be impacted in the short-term, this initiative and subsequent pricing actions are absolutely essential to improving EBITDA and overall margins. As inflation continues to be volatile, we are confident in our ability to price our products competitively and at a productive rate to improve our overall profitability. Our third initiative is focused on reducing our fixed costs and achieving a leaner cost structure. We are well on the way toward implementing full-year run rate savings of approximately $11 million by 2024 with nearly 60% of the actions taken during the fourth quarter of 2022. It is never easy to eliminate jobs throughout the organization, and we remain committed to not risk jeopardizing safety, product quality or investments in our people. Additionally, we have initiated actions to examine indirect spending, and I look forward to providing an update on the additional upside savings in this area as we progress the work. As both Ramesh and I discussed earlier in today's call, our fourth initiative, cash liberation significantly contributed to our quarterly results. Work within this initiative is solely focused on paying down debt, decreasing our leverage, and increasing EBITDA. The team working on this initiative is continually reviewing our capital allocation, managing our accounts receivables, and reviewing finished goods inventory, and raw material pricing. These efforts are in addition to the Board's previously announced decision to suspend the dividend, which will free up approximately $25 million of cash annually. Turning to initiative number five, operational effectiveness. The work in this area is arguably the most complex of our turnaround actions. Each of our manufacturing sites has targeted initiatives that collectively total $10 million of improvements while also managing raw materials, inventory levels, and ongoing capital improvements. In addition, we are well underway with rolling out standard Six Sigma principles to provide the tools needed to drive improvements while ensuring we maintain excellent customer service. This initiative is essential for offsetting the impact from a continued volatile labor market and ongoing wage inflation. Our sixth initiative is aimed at improving performance in our spunlace segment, which comprises each of the previous five turnaround initiatives. As mentioned earlier, we are pleased by the initial signs of progress, but we must continue with the intensity and urgency needed to achieve step change improvements in this segment. Also, the team continues to do good work to further leverage the Sontara branded business given its non-wovens manufacturing technology and complementary fits to the Airlaid and Composite Fiber markets. To simply summarize our turnaround efforts to-date the progress we made in the fourth quarter is just the start. For us to be successful in the months ahead, we must progress our key initiatives with speed and tenacity, while we continue to manage the price-cost gaps that will prevail until energy prices better stabilize and raw material prices return to more normal levels. I'm proud of our Glatfelter colleagues as they remain committed to driving the turnaround plan and focused on the factors within their daily control: working safely, adapting to the many required operational improvements, and accepting new and expanded accountability all within the spirit of Glatfelter's core value. Before opening today's call for questions, I want to take this opportunity to speak to a few longer-term strategic initiatives that we are progressing in parallel to the turnaround. We recognize that to make a positive impact on our communities, we must first ensure we remain a profitable and growing business that begins with our turnaround strategy. And while important, the turnaround strategy is simply not enough for us to deliver on our commitment toward addressing the world's ESG [sic] mandate, which leads me to discuss our innovation strategy. Having now spent time assessing the company's approach to innovation, I'm excited and confident that our focus on sustainability and new product development will provide the platform for Glatfelter's long-term organic growth. As part of our ongoing work, I'm pleased to share that we issued our 2022 Sustainability Report in December that outlined our first ever strategic ESG goals. These goals are directly tied to our environmental, social, and governance and ethics priorities, and will guide our ESG and new product development efforts for the coming years. In addition, we continue to invest in new product innovation to find alternative solutions through the use for renewable materials combined with our unique manufacturing technologies. So this approach, we will create a competitive advantage for our customers as recently confirmed by our Blue Ocean Closures initiative to develop an innovative natural fiber based screw cap. Perhaps most notably on the innovation front, the team has made excellent progress in the past several months with the development of a non-woven based lithium ion battery separator. We are actively evaluating product trial material, and reviewing the product's unique characteristics and benefits with several key customers who are keenly interested in the technology. While still early in the process, we look forward to sharing more details about the potential impact this product could have on the electrical battery market. With that, I will open the call for questions.
Operator: Thank you. [Operator Instructions]. We'll take your first question from the line of Roger Spitz from Bank of America. Please go ahead.
Roger Spitz: Thank you. Good morning. Just a --
Thomas Fahnemann: Hey, Roger.
Roger Spitz: Couple of things, Ramesh, on the free cash flow slide, the 2023 interest other financial of $73 million, is that meant to be a book number or is that a cash number, which potentially would include the debt refinancing cost?
Ramesh Shettigar: Sure. Yes, Roger, that is a book number. The cash piece of that is about $60 million, and the rest would be accrual, some supply chain financing program costs and so on. But the cash interest out of that $73 million is about -- expected to be about $60 million.
Roger Spitz: Okay. And that -- does that include the two points upfront related to the new $250 million, €50 million?
Ramesh Shettigar: No.
Roger Spitz: Six-year term loan --
Ramesh Shettigar: Well the --
Roger Spitz: That would be [indiscernible] presumably.
Ramesh Shettigar: Yes. The amortization of that will be included -- is included in the $73 million, but not the entire $73 million, because that's amortized over the life of the loan.
Roger Spitz: All right. Okay. Got it. And then let me come back. That's it for now. Thank you.
Ramesh Shettigar: Sure. Yes. Okay.
Operator: We'll hear next from the line of Josh Wool with Carlson Capital.
Josh Wool: Thomas, Ramesh, good morning and congrats on some of the progress made in Q4.
Ramesh Shettigar: Thanks, Josh.
Thomas Fahnemann: Thanks, Josh
Josh Wool: I'm going to start with a few high-level big picture questions, mostly around your insights as you've begun to implement the turnaround plan you introduced last quarter. And then I have some more specific questions, but I may get back in the queue for those. Thomas, last quarter, you were very direct about the challenges presented by rapid inflation and escalating energy prices, particularly in Europe. While the inflation rate is still objectively high, prices are no longer increasing at an accelerating rate and energy prices in Europe have cooled. So my question is, at a very high-level, how much has the macro environment changed and is the current backdrop supportive of your strategy?
Thomas Fahnemann: Okay. Yes. Okay. Thanks, Josh. Definitely, Josh, we have already seen really improvements in the macro environment. Certain raw materials have actually leveled off. Some freight link costs are really coming down as well very selectively. But however, we still have some key raw materials, which are important to us, such as fluff pulp; they're really still at elevated levels and might still be going a little bit higher. So we are still at a very, very high-level. Overall, if I look at 2023, we continue to expect raw materials, prices to come down as the year progresses, which is actually a good sign for us and also for our customers with the pass-through arrangements. Because we have seen in certain areas that we are at a price level right now where customers are pushing back a little bit because consumers are not willing kind of to accept these high price levels. So that's actually good news and we are expecting as the year progresses that this will help us. That's -- and again, if I come back maybe to the turnaround strategy, again, our objective is to bring really our margins back to the pre-pandemic levels. We have made really excellent progress already in the fourth quarter, but our job is not done yet. So we have to continuously work on that and we have to push price increases in order to really close the price-cost gap. And so I think summarizing and the answer for your question, I think yes, we -- the current situation I think will be supportive of our strategy and our goals for 2023.
Josh Wool: Okay. Well, let's talk a little bit about returning profitability to pre-pandemic levels and maybe specific to Composite Fibers. I know you expressed last quarter your goal is to get back to pre-pandemic levels and I think you ended 2022 kind of pretty far away from that. And I'm looking at margin and EBITDA per ton, so not the absolute dollar level. So can you provide any additional insights into the steps you're taking to achieve this goal, the timeline necessary? And maybe specifically what kind of -- what level of scale will it require given a lot of the volume degradation in this business was related to the conflict in Ukraine and sanctions. So assuming that doesn't change, you're at the scale you're at so maybe you can speak to that.
Thomas Fahnemann: Yes. And again, Josh, I mean, if I look at Composite Fiber, this is a mixed bag. You have different segments with different levels of profitability. So what we are looking at right now, we are looking really segment by segment. And this is where we would like to get back to the pre-pandemic profitability. Our -- if I look at the Dresden asset, which was providing the wallcover material for the -- for Russia and the Ukraine, this was a relatively high margin business. So we don't expect over the next two to three years that this will come back to the levels which we have. So we had to substitute this piece of business with other businesses, which unfortunately are not really enjoying this kind of margin, and there's not much we can do about it right now to be quite honest. What I'm talking about is really that we are looking at the food and beverage sector, coffee, tea, where we still have a way to go to get back to the profitability, which we enjoyed pre-pandemic and go segment by segment. One of the things we are seeing right now is, although we are pretty pleased with the development in Composite Fibers, we see some market weakness right now in the lemonade business this kind of building industry Do It Yourself projects and all that. So that's leveling off and we are seeing some weakness right now here, specifically in the first half of 2023. And hopefully this will come back in the back part of 2023. But we are looking at it from a segment to segment standpoint because like I said, it always depends on the product mix.
Josh Wool: Okay. Maybe one more and more on this issue. Can you elaborate on the actions you've taken at the OberSchmitten site, including what are the range of strategic alternatives for the site? Are you considering selling the facility but moving the volume in customers to another site or selling it with the customers and volume? And then maybe relatedly, you mentioned Dresden. I would've thought that this would've been kind of the -- at the top of the packing order given it was so directly impacted by the conflict in Ukraine and the sanctions. What is the status of reviewing alternatives for that site either reducing production to make back those fixed costs or anything else?
Thomas Fahnemann: Okay. Yes, let me start with OberSchmitten and Josh, you're absolutely right. OberSchmitten is part of our evaluation, and right now all options are on the table, okay. So we are looking at everything right now and working through all the details, but can just reemphasize all options are open. As far as Dresden is concerned, we really evaluated Dresden, but despite the fact that we lost the Ukraine, Russian business -- Russia business in early 2022, Dresden is still providing an positive EBITDA. So Dresden is accretive to our bottom line. And we have been able -- and this by the way with utilization rates, which are far away from being optimum because we lost all this volume. So we were able to kind of fill part of the idle capacity with other businesses. I mean, we are focusing on wallcover in Western Europe, unfortunately not as profitable as the Russian-Ukrainian business, but still we filled it up. And we are also looking at our innovation chain, and we have some products, which we were able to convert to Dresden. I don't want to paint a picture that Dresden is fully loaded. We are still away and we still have a lot of idle capacity in there. But Dresden is a accretive and is providing a positive EBITDA. So Dresden right now is not on the table as far as our portfolio issue is concerned.
Josh Wool: Okay. May be one more from me and then I'll get back in the queue. Thomas, you've had the benefit now of six months to evaluate Jacob Holm. So I have a few questions about the business. I'm just going to ask all the questions and you can answer them in parts or collectively. First, do you have any significant observations about the key drivers of Jacob Holm's historical profitability, including the contribution from Sontara versus the more commoditized product lines? Relatedly, do you foresee changes around which markets you choose to participate in, your approach to pricing and strategies to leverage the Sontara brand more? And then more generally, what are the priorities to get the most out this business in the medium and long-term? And I'll get back in the queue.
Thomas Fahnemann: Okay. So yes, maybe to the first part, what kind of contributed to the performance of Jacob Holm before we acquired the company, I think if you look at all the details, Sontara really generated the majority of the profits prior to COVID and during COVID. And also the COVID tailwind significantly helped the medical business for Sontara, the surgical drapes, counts, masks and mask components. And it also helped the hygiene and wipes business at Asheville and Soultz. Jacob Holm secured additional hard surface cleaning wipes, contracts, and also benefited from traditional wipes being used in new ways. You remember during the pandemic, I mean you just needed to get product, price was not even a discussion point. And specifically, Soultz benefited from really making components of feminine and hygiene products and diapers that have transitioned from carted spunlace to spunlace technology at much lower basis weights. So this was really a big uplift for Soultz in that specific time during the pandemic. And during that time, prices were trending higher and raw material costs were falling, providing a price benefit to cost I mean the spread just widened. So I hope that addresses your question, why these profits were as high as they were. And looking forward, I mean our focus and what we envision is a much stronger focus on Sontara on critical cleaning and transitioning, really our coded medical products from a fluorocarbon coating towards a more sustainable coded material to meet the changing regulations which we expect to take place in Europe. And we have a strong pipeline of sustainable offerings in both businesses. And if you look at this, in order to be plastic free and all this, you need binders and chemicals and adhesive free. And we need to use these products to produce Sontara. We are making a lot of good progress, and we have really very exciting projects in the pipeline, specifically for Sontara. And we are also now leveraging, and we are already seeing it helping us in the U.S. but our biggest target market is really Europe and the rest of the world. And we are leveraging the Sontara brand as a key differentiator in our sustainable offerings. This is a branded product. We can offer sustainable products and I mean this is what we are pushing right now. And we are producing them with a higher percentage of sustainable materials and relative to the alternatives, which are in the market. And if I go with this one part of the business. The second part of the business, our hygiene and wipes, and I can just say the same I said three months ago, we have to really transform to a lower cost and operationally stable manufacturer. We are making good progress. I can tell you right now, month by month we are making progress. It gets better, but it just takes time. And again, the previous owners didn't accomplish this. And we just really need to transfer this business to a low cost and operational excellence needs to be introduced in that area. And so we are really working hard and the team is working extremely hard at Asheville and Soultz to optimize these assets and really improving them, and again, I can just repeat myself, I mean, I'm really pleased with the progress we are making, it's little steps, but as mentioned I mean, operations is the most complex area we are dealing with, but we are making progress. Every month is getting better. And so, and again, innovation also in this area might help us in order to get newer products on these lines, which are hopefully generating higher margins. But the biggest focus for the wipes and hygiene business in spunlace is to become more competitive by improving our operations.
Operator: At this time, we'll move to the next line in the queue, Shaun Nicholson from Segall Bryant & Hamill. Your line is open.
Shaun Nicholson: What you guys, I did want to -- I guess maybe Ramesh, you can remind me if I'm -- or tell me if I'm wrong, but this is the first time I've seen annual guidance provided. Usually, it was obviously the kind of forward-looking quarter. And so kind of what maybe made the -- made you guys kind of think you had a good picture of the year in terms of how to put out a kind of a general range there of what you can do on EBITDA basis versus maybe the practice of the past.
Thomas Fahnemann: Okay. Yes. Let -- maybe let me start giving you our rationale behind this and then maybe Ramesh you can add some details of that. I mean, to be honest, our thinking right now is number one, I think it's important to give our investors a yearly forecastle to see what they can expect on a yearly basis. We are still seeing high -- highly volatile environment and we'll have changes quarter by quarter. If I look at the things which we can manage and we can control, we would expect that quarter by quarter you should see improvements in order to get to the $110 million to $120 million. So actually more heavy load on the back end as we implement and are successful in implementing the steps for our turnaround strategy. If I look at the fixed cost reduction, I mean, like I said 60% of the program is already executed, just takes time in Europe, you have longer time to get people out and so you will see improvement quarter by quarter. But on the other hand, we still have a highly volatile environment and we need to be very quick in our decisions. And so we think it makes much more sense to give a yearly forecast because we feel very confident to kind of get into the 110 to 120 range. But quarter by quarter you might see some changes and you might see some fluctuations up and down. But in general, the things which we can control, you see -- you should see improvement quarter by quarter.
Ramesh Shettigar: And Shaun, I -- what I would add to that is, we've received feedback from investors over time and I've been in the IR role for almost six years and having seen the transformation when we sold our specialty papers, we did these acquisitions. I think investors are looking for additional clarity around what the medium-term picture looks like. And when we're giving one quarter at a time guidance for each of the segments, I think the bigger picture gets lost in that translation. And so we wanted to kind of move away from that help complete the picture. As Thomas mentioned, with the turnaround strategy being a very significant element of our short to medium-term performance, I think having investors understand what that looks like, what that aggregates up to on a year-over-year basis, we think is helpful and that's really I would say what I would add to what prompted us to move from quarterly to annual.
Shaun Nicholson: Okay. That's helpful. Yes. Just on the leverage side, as you guys kind of think through the -- if you end the year in that guidance range from a -- from de-leveraging, is that going to come predominantly from an asset sale versus any other free cash flow that that will emerge? I know you have some working capital tailwinds, but you have higher interest cost and so when you kind of think through, is that what drive leverage lower would have to be kind of an asset sales side of it?
Ramesh Shettigar: Yes. I would say it's -- it would come from multiple areas, Shaun. There's no one piece that will solve the leverage formula for us. Clearly, the increase in EBITDA year-over-year from where we were of $99 million in 2022 versus we're guiding to $110 million to $120 million, that that is a meaningful amount of improvement on EBITDA. We've talked about trying to improve our working capital by about $20 million compared to what the use of cash was in 2022. We've talked about portfolio optimization, so you're right. Some asset sales could potentially contribute to that. We're trying to keep our CapEx as tight as we can. We've cut down, we've eliminated the dividend, the -- which we did last year. So I would say it's multiple things all kind of coming together to help improve our leverage picture as we look forward here to 2023 and beyond. And I wouldn't just classify it as being asset sales solving that equation for us.
Shaun Nicholson: Okay. Got it. And then one last one on pricing. I know you've talked in the past, you guys really had to eat a lot of that inflation early on over the last year or so and kind of the pricings kept up with the raw material and inflationary backdrop the last couple quarters at least, but you haven't really been able to obviously go back and try to recapture what you've already had to absorb. Is that when you look at the pricing, I guess, strategy this year, do you think that's able to happen where you can try to not only cover what's today, but kind of recapture some of the lost profitability of the past?
Thomas Fahnemann: Yes. Let me answer this. And again, I think we have to differentiate a little bit by segment. I think our Airlaid segment is more or less fine. I mean, we had -- we were able to pass that on and there was not actually a lot of issues there. Composite Fibers, on the other hand, you're absolutely right. There was actually a cost-price gap, which accumulated over the year and what we were able to do in the fourth quarter, I mean, we initiated this in September and we implemented it as in October/November that we kind of put the margins back to where they were before the inflation hit. So this is kind of end of 2021 levels. Some things didn't really materialize in Q4 because we had customer commitments until the end of the year and we had to honor that. But you should see this probably in Q1 coming through there. So that's something where we said, okay, we are back to where we were, but we haven't really recovered the $70 million, $80 million of if you will price-cost gap, which accumulated in 2022. What we would expect is with prices hopefully coming down in Q2, Q3, Q4, that we would hopefully benefit from a little bit of win for profits if we are able to hold on to certain prices a little bit longer. But be very realistic I mean, if I talked before about $70 million to $80 million in cost-price gap, I don't think it's realistic to expect that we are even getting close to that number. Might it be $5 million to $10 million maybe if we are really successful? But yes, part of it, smaller number, we might be able to get this through the fact that raw material prices are coming down. We will hopefully be able to hold on to higher prices a little bit longer, but we will not be even close to the money, which accumulated in 2022, as far as related to the price-cost gap. And the same issue is on, I mean, in the spunlace area I think we were very successful in Sontara, on the other hand in the hygiene wipes area I mentioned before and that's also where we lost volume on purpose because we need to get our assets to the point where they're really competitive. Sontara I think is fine. There's not a problem here. The big question is really improving and increasing market share. I mean, we have a pretty decent market share in the U.S. and our main focus is to get and really penetrate Europe and the rest of the world. There we see a lot of potential but hygiene wipes is still more mainly focused on operations and improving our operations in order to be competitive, and then we can also get our volumes back.
Operator: Let's move to the line of Roger Spitz from Bank of America with a follow-up.
Roger Spitz: Thank you for the follow-up. Ramesh, the 2023 cash flow items plus $60 million cash interest item suggests 2023 cash flow of about $15 million. But I'm wondering whether the sort of the new debt issue costs and perhaps any restructuring new initiative costs would just make this closure to just slightly positive 2023 free cash flow.
Ramesh Shettigar: Yes. So Roger, good question. First of all, I just want to clarify the -- when we look at the -- with all the guidance we've provided and we look at where the free cash flow is, it'll still be a negative free cash flow, call it $20 million to $30 million. And that's primarily driven by this elevated interest expense or interest cost that we're going to be having from the refinancing. Yes, there will be other cash uses as well like you mentioned, debt cost restructuring and so on. But we're still working through all that, which will be incremental to the negative free cash flow. But we certainly see this as an improvement from 2022 going into 2023 and that's really what we wanted to make sure folks understood, which is we're improving earnings. We're staying as tight as we can on CapEx. We'll have elevated interest. We'll have some improvement in working capital. Cash taxes will be relatively flat. And so net-net free cash flow will still be negative going into 2023. But the idea is to then take some of the actions that Thomas has been talking about regarding portfolio optimization and so on, and try and get that to a positive free cash flow and then continue to pay down debt.
Roger Spitz: Got it. And that's $60 million 2023 cash interest, is that include a full cash pay or would you be making use of the up to 5% of the new debt being paid?
Ramesh Shettigar: Yes. Good. Yes. So for right now, that $60 million assumes that we would pay the full cash interest.
Roger Spitz: Full cash. Full cash. Great. And then --
Ramesh Shettigar: Correct.
Roger Spitz: Lastly, in terms of liquidity, so you're replacing the €220 million with a €250 million, there's a 2% OID and debt cost. That's -- would you have pro forma additional maybe $30 million or more million of cash on the balance sheet pro forma for doing the refinancing? Does that give you that extra liquidity?
Ramesh Shettigar: Well, yes, I mean, you've got to also think about, we will be using that to pay down some of our revolver borrowing so that we're not grossing up the balance sheet. We've got some of the German, IKB, BW, term loans that are coming due here later this year. So those will all eventually get used to pay down some of the other smaller debt maturities that we have later this year, Roger. So I wouldn't think of the balance sheet getting grossed up for that delta of $30 million, if you will of extra proceeds from the new term loan.
Roger Spitz: Makes sense. Thank you very much, Ramesh.
Ramesh Shettigar: Okay. Good.
Operator: We'll go to a follow-up from Josh Wool from Carlson Capital.
Josh Wool: Hey guys, I just had a two more questions. First, can you provide a little bit more detail on how the gas caps in Germany impact your costs either direct costs, your hedging program, or maybe it's just reducing the volatility associated with price spikes that may have occurred in energy prices going forward?
Thomas Fahnemann: Okay. Yes. Let me try to talk about to that. I mean, if you look at the -- if you talk about you ping gas caps, I mean, this is actually Germany and this is the majority of our business. And so what Germany did is they introduced gas cap and also actually a power cap price, I mean, the gas cap is at €70 per megawatt hour, and power is at €130 per megawatt hour. And that's actually what the government does is, they look at your portfolio price. So whatever you did as far as hedging is concerned or pre-buying or whatever, so your price is not higher. And let me take gas as an example, then €70 per megawatt hour, okay? So that's kind of how the system works. The system is in place until the end of the first quarter of 2024. So for five quarters and this is the guaranteed price cap for the company, okay? And that helps actually tremendously with our planning and all this because we know, and as you'll remember, Josh, I mean we had prices last year of €300, €250 all over the place. So the €70 is really helps tremendously. Interesting what happened in the last, I would say yes, 8 to 12 weeks, due to the fact number one, that the inventory -- GAAP inventory in Europe overall, but specifically in Germany were really a 100%. So they went into the season with full inventory and luckily a relatively mild winter, so not a lot got consumed. So that even inventories right now, end of February, at relatively high levels, which actually enter price cap kind of drove the market price down. I mean, the market price was sometimes below the cap. So, which is in the best outcome, to be honest that the market is actually driving that way. So despite the fact, and again, the €70 is still probably 4.5x higher than the gas price in the U.S. I mean, I just don't want to ignore that. But compared to what we were faced with in 2022 is a big relief for everybody. Not just for us, but also for our customers, for our suppliers, and for all that. I mean, it gives you a certain planning stability. And the best thing, to be quite honest that happened is that the market is falling in line now and it's actually stabilizing around this level. And by the way, the same is true for power at the €130 level, okay? So that's kind of helping. And while I talked about Germany more or less in other ways and other government programs, France and the UK are doing kind of the same thing. So this is kind of where we are right now, and I have to say it really helps, and not just us, but the whole value chain.
Josh Wool: Okay. I've just got one more pretty open-ended question and it's just thinking about Glatfelter's reporting structure versus how you manage the business since you completed the Jacob Holm deal. And I guess, more specifically, you guys have always reported kind of on the basis of a product substrate, but now you have two substrates, Airlaid and Spunlace that could sell the same product, let's say a wide into the same customer or even the same end market. When you plan marketing, pricing, R&D and other strategies, do you plan by end market, like let's say, healthcare market consumer, and if so, is that reporting structure or the benefits to that versus doing it by substrate now that you have two kind of adjacent substrates in Airlaid and Spunlace.
Thomas Fahnemann: Yes. Okay. That's a good question and we had a lot of internal discussions about that. So let me just tell you where we are right now. So we are already aligning our organizations more towards end markets and we have also made steps in Composite Fibers and the innovation area and in ops kind of to align more towards this kind of end market segmentation because it doesn't make any sense if there's a Glatfelter rep coming to one company three times I mean, this doesn't make any sense. So we are already doing that. So as far as the customers are concerned, we are already aligned by really segment there. What we also did is early January, and I mentioned this before, we really improved our expertise and knowledge as far as operations is concerned. We really very happy to have two leadership ops people on Board and we are already aligned them along the segment and not really by technology, if you will. So that's already taken care of. Now as it comes to public reporting and I mean, Josh, if I mean if I could do it, I would do it immediately to be quite honest. But there's -- this requires significant changes in our systems and all other things. So we are starting the work, but to be quite honest, as far as priority is concerned, I think with our turnaround strategy then I'm extremely excited about the innovation site and the pipeline. We need to push this in order to really generate organic growth for us. I think these things have higher priority. Ultimately, I think you're absolutely right. I think we should probably report more towards market segments and markets. But I cannot promise that this will happen in the next 18 months or 24 months because this requires a lot of internal work as far as reporting is concerned, IT systems and all that. And right now we just have other priorities to be quite honest. We need to get the turnaround strategy done. We need to kind of develop the platform for organic growth with our innovations that has higher priority than that. But is this something we would like to go to? Absolutely.
Josh Wool: Perfect. Well, thanks for all the details. And --
Thomas Fahnemann: And it will take time. Okay.
Josh Wool: Great. Thanks for all the details guys. That's it for me.
Thomas Fahnemann: Okay. Thanks, Josh.
Operator: At this time, that does conclude our Q&A portion of today's call. I would like to turn the conference back over to Thomas Fahnemann for any closing or additional remarks.
Thomas Fahnemann: Okay. Thank you very much for your interest and the time you spent with us, and then this concludes our call. Thank you.
Ramesh Shettigar: Thank you.
Operator: That does conclude today's teleconference. We thank you all for your participation.